Operator: Good morning and welcome to the BlackBerry Fiscal Year 2019 Second Quarter Results Conference Call. My name is Lisa and I will be your conference moderator for today's call. During the presentation, all participants will be in a listen-only mode. We will be facilitating a brief question-and-answer session towards the end of the conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to our host for today's call, Christopher Lee, Vice President of Finance. Please go ahead.
Christopher Lee: Thank you, Lisa. Welcome to the BlackBerry’s fiscal year 2019 second quarter results conference call. With me on the call today are Executive Chairman and Chief Executive Officer, John Chen; and Chief Financial Officer and Chief Operating Officer, Steve Capelli. After I read our cautionary note regarding forward-looking statements, John will provide a business update and Steve will then review the financial results. We will then open the call for a brief Q&A session. This call is available to the general public via call-in numbers and via webcast in the Investor Information section at blackberry.com. A replay will also be available on the blackberry.com website. Some of the statements we will be making today constitute forward-looking statements and are made pursuant to the Safe Harbor provisions of applicable U.S. and Canadian securities laws. We will indicate forward-looking statements by using words such as expect, will, should, model, intend, believe, and similar expressions. Forward-looking statements are based on estimates and assumptions made by the Company in light of its experience and its perception of historical trends, current conditions and expected future developments as well as other factors that the Company believes are relevant. Many factors could cause the Company’s actual results or performance to differ materially from those expressed or implied by the forward-looking statements, including the risk factors that are discussed in the Company’s Annual Information form, which is included in our annual report on Form 40-F and in our MD&A. You should not place undue reliance on the Company’s forward-looking statements. The Company has no intention and undertakes no obligation to update or revise any forward-looking statements, except as required by law. As is customary during the call, John and Steve will reference non-GAAP numbers in their summary of our quarterly and annual results. For reconciliation between our GAAP and non-GAAP numbers, please see the earnings press release and supplement published earlier today. I will now turn the call over to John.
John Chen: Thank you, Chris. Good morning, everybody. And as Chris stated, I will reference non-GAAP number in my summary. In today's discussion, I will try to include more comments on BlackBerry competitive edge in the software markets we played in. We are executing against our fiscal 2019 financial and operational plan. This quarter was a record high for total software and services billings. We see solid customer demand for our safety and security-focused products, resulting in double-digit year-over-year software and services billing growth for the second consecutive quarter. The business has showed the best year-over-year momentum in the quarter as BlackBerry Technology Solutions, which reported its highest ever quarterly revenue. Additionally, our enterprise software business experienced sequential quarterly growth. I will provide more color on both of these later. Let me provide some highlights for the quarter. Total revenue came in at $214 million. Total software and services revenue was $197 million. Gross margin was 78%. Operating income was $17 million and operating margin was 8%, an increase of 2 percentage points from last year. EPS was $0.04. Total earning in cash and investment came in at $2.4 billion. Next, here are some of the significant highlights by businesses. In our BlackBerry Technology Solutions business which includes embedded software and assets tracking. BTS revenue increased 29% year-over-year, driven primarily by BlackBerry QNX. This is the third consecutive quarter around 30% year-over-year revenue growth. Software development license, services and royalty revenue have all grown from the increase in the number of design wins. Revenue growth has been broad based across various different types of applications. Our infotainment system business grew year-over-year, and our non-infotainment system business such as ADAS, Advanced Driver Assistance, and instrument cluster grew at even faster rate year-over-year. A notable design win in the quarter was for next-generation digital cockpit for a multi-national auto OEM through our Tier 1 partners Yanfeng Visteon. This probably gives you a hint, this is Chinese company. The competitive edge of QNX is highest because of its highest safety certification, security capabilities and reliability. In addition to our design wins, the number of qualified worldwide channel partners for BlackBerry QNX increased to 48, which represents a 20% increase from the start of the fiscal year. In the quarter, we added new partners in China, Japan, South Korea and the United States. As you may recall, we started the beginning of the fiscal year that one of the BlackBerry QNX business goals was to expand our sales channel, and the BTS team has done a good job to achieve that objective. Moving on to BlackBerry Radar, our asset tracking business. We’re making progress adding new customers, receiving repeat orders, and growing our pipelines. Radar is differentiated from our competitors due to number one, the high-volume collection, up to 100 times more data than other solutions in the market; two, it’s designed for cloud-based, cloud-hosted business analytics application and reporting in one integrated and scalable platform; and finally, it has long-lasting battery, module architecture and the ease of installation. Customers consistently sight the positive return on investment they obtain when they utilize BlackBerry Radar. The two main reasons are improved asset utilizations and time savings as we saw in higher driver satisfaction. However, our revenue growth has been slower than expected as we invested in partners and personnel to address the many opportunities we have. We believe the investment we have been and will be making will enable us to reach our goal of $100 million in cumulative revenue over the next three years. Next, I would like to spend a few minutes on the licensing business. Our licensing business performed well in the quarter, even against a pretty tough comparison to last year. I’d like to spend a couple of minutes to explain our licensing business, because it may not be as well understood. Our licensing business actually comprises of two major parts, one is in technology licensing and the other one is an IP licensing. On the technology side, we provide our secure embedded handset operating system and related security software to OEMs and BlackBerry Messenger for the consumers. On the IP side, we have over 37,000 patents with an average life of 10 years, which is rather young. On an annual run rate basis, our total licensing business currently is at least $200 million in revenue. Of this amount, about $60 million to $80 million currently relates to technology licensing and the remaining -- remainder relates to IP licensing. Currently, well over half of our total licensing revenue is recurring, and quarterly run rate for total recurring license revenue is somewhere between $40 million to $45 million. Our licensing business is a key component of our total software and services revenue mix. And we anticipate our licensing business to continue to grow steadily over time. Now, I would like to spend a minute on the enterprise software business. We do have sequential double-digit billings growth, resulting in the total enterprise revenue increase 11% from Q1 of ‘19. As you recall from last quarter, more of our enterprise revenue is recognized on a ratable basis under the ASC 606. Concurrent with this accounting change, we modify our sales model and increase our focus to sell subscription license rather than perpetual licenses. In the quarter, the enterprise business experienced sequential growth in four areas, the endpoint management; the crisis communication software; the secure communication software; and professional services. The reason we win is because we offer an integrated and scalable mobile-first solution that helps secure our customer entire ecosystem and can be managed on a one single platform. These results reinforce our position as one of the market share leaders. IDC noted our number two share position in the worldwide EMM market share of 2017 reports published several months ago. That share position was unchanged from IDC 2016 report. BlackBerry was also recognized for its innovation as we were named as the leader in both the 2018 Gartner Quadrant Unified Endpoint Management Magic Quadrant, as well as the IDC MarketScape. We continue to build a stronger presence in various regulated industry segments. In financial services, we increased our market share through a combination of new logo wins, including a leading global investment bank headquartered in New York, and Absa Bank, a South African financial services provider as well as expanding our product footprints within existing customer, such as Lloyds Bank in UK and KfW in Germany. In government, our products are chosen by government agencies from countries around the world. I'd like to highlight several wins in the quarter. The U.S. Department of Justice chose Blackberry on-premise solution, covering all their 150,000 plus employees [Technical Difficulty] Operator, am I -- are we still okay?
Operator: You're still okay.
John Chen: Thank you. Okay. Thanks. Let me continue. The Department of Veteran Affairs chose BlackBerry solution under a multiyear FedRAMP cloud license. FedRAMP cloud is growing very fast, faster than on-prem solutions and we do offer both. With the win at VA, the number of U.S. government agencies we have FedRAMP cloud authority to operate the ATO will increase -- has been increased to 6; and the number of BlackBerry FedRAMP cloud users doubled to about 1 million. One of our European government customers also bought more of the SecuVOICE solution, expanding our share there with that nation. In Canada, we also expanded our footprint with repeat orders and helping the Canadian government monitoring the entire mobility environment and detect issues before they impact a user base of about 100,000 employees. In the quarter, we also expanded our channel network by entering into a multiyear reseller agreement with AT&T. This agreement will also BlackBerry suite of secure enterprise software and services through the AT&T business customer base in the United States. The agreement provides BlackBerry an opportunity to take advantage of this vast customer base. At our analyst day early this year, I announced our goal to utilize all our technology assets to create an end-to-end platform that would secure and manage the multitude of enterprise endpoints expecting in the future Enterprise of Things. That's very long -- long sentence. On September 12th, we took a major step towards achieving that goal with our announcement of BlackBerry Spark, which is an Enterprise of Things platform designed and built address two very significant and intersecting global needs, one being Hyperconnectivity of Things and the other cyber security requirements. BlackBerry has the technology and DNA to play in a very substantial market influenced by these trends. According to industry analysts, IoT endpoints will grow from a mid-single-digit billion installed base in 2017 to potentially a $75 billion installed base in 2025. Spending is estimated to be in trillions of dollars. A substantial portion of this installed base and related spend is expected to be in enterprise sector. Our customers and partners will be able to build and deploy new product and solution with this BlackBerry data security and privacy as the foundation. We believe this platform will afford BlackBerry compelling growth opportunity in the years to come. We're developing a number of vertical solutions which will become available in September 2019, calendar that is obviously. I will now turn the call over to Steve to provide more details of our financial statement and our quarterly performance.
Steve Capelli: Thank you, John. My comments on our financial performance for the fiscal quarter will be in non-GAAP terms unless specified otherwise. We delivered second quarter non-GAAP total Company revenue of $214 million and GAAP total Company revenue of $210 million. I will break down revenue shortly. Second quarter total Company gross margin was 78%, up 2% from a year ago. Our non-GAAP gross margin includes software deferred revenue acquired but not recognized of $4 million and excludes stock compensation expense of $1 million and restructuring expense of $1 million. Operating expenses of $150 million were down 3% sequentially as we continue to maintain financial discipline by optimizing our resources, becoming more efficient and improving our bottom line. Our non-GAAP operating expenses exclude $22 million in amortization of acquired intangibles, $20 million in stock comp expense, $2 million in restructuring charges, a benefit of $2 million for acquisition and integration costs and a benefit of $70 million related to the fair value adjustment on the debentures. Non-GAAP operating income was $17 million and non-GAAP net income was $21 million. Non-GAAP EPS was $0.04 in the second quarter. Our adjusted EBITDA was $33 million this quarter, excluding non-GAAP adjustments previously mentioned. This equates to adjusted EBITDA margin of 15%. I will now provide a breakdown of our revenue in the quarter. Total software and services revenue was $197 million, representing 92% of total revenue and up from 79% compared to a year ago. Total SAF revenue was $12 million and total handset device revenue was $5 million. SAF revenue continues to wind down as expected. Handset revenue resulted from the release of balance sheet credits which had a small benefit to EPS. I will now provide a further breakdown of our software and services revenue in the quarter. Enterprise software accounted for 47%, BlackBerry Technology Solutions accounted for 25%, and licensing, IP and other accounted for 28%. Please refer to the supplemental table in the press release for the GAAP and non-GAAP details. I would now like to make several comments to provide further clarity. As reported, enterprise software revenue declined approximately 10% year-over-year. This is an improvement from the 18% year-over-year decline we reported last quarter. After implementing ASC 606 at the beginning of this fiscal year, I want to remind you that the revenue from the majority of our perpetual licenses is no longer recognized immediately. In general, revenue from perpetual licenses is now recognized ratably over a full-year period. In FY18, perpetual licenses accounted for between 20% and 30% of enterprise software revenue. If we were to account for the second quarter of last year in the same way as this fiscal quarter, then enterprise software revenue would have experienced low-single-digit growth. While there are other factors contributing to this year-over-year comparison, it is clear that we have made progress in the enterprise software business as evidenced by 11% sequential revenue growth, double-digit billings growth, and deferred revenue growth. We anticipate the headwind from this accounting and sales model changes to impact enterprise software revenue for the remainder of fiscal year 2019. We expect better year-over-year comparisons in fiscal 2020 as we lap the accounting and sales model changes. Recurring software and services revenue was approximately 81% in the quarter, consistent with the definition we have previously used. As we mentioned last quarter, a primary benefit of recurring revenue is that it is more predictable. Therefore, if we include perpetual licenses that are now recognized ratably in the calculation, then recurring revenue would have been over 90% in both Q1 and Q2 of this year. Now, moving on to our balance sheet and working capital performance. Total cash, cash equivalents and investments were $2.4 billion, which increased by $17 million from May 31, 2018. Our net cash position was $1.7 billion at the end of the quarter. Moving to the cash flow statement. Free cash flow before considering the impact of restructuring and legal proceedings was positive $37 million. Cash generating operations was $31 million and capital expenditures were $4 million. That includes my comments. I’ll now turn the call back to John to provide our financial outlook.
John Chen: Thank you, Steve. Financial outlook before our Q&A. First, we reaffirm our fiscal year 2019 financial outlook, which has four highlights. One, the total Company software and services billings growth to be in double-digit; two, the total software and services revenue annual growth between 8% to 10%; three, non-GAAP EPS to be positive; and finally, to deliver positive free cash flow before considering the impact of restructure and legal proceedings. This by the way has been consistent from previous guidance. Our annual guidance is based on the following premises. Number one, BTS revenue to continue its double-digit growth throughout the year, although the growth may be closer to 20% rather than 30% due to a tougher comparison in the next two fiscal quarters; licensing revenue to perform better than we originally planned; enterprise billing and revenue to continue its sequential growth for the remaining of 2019. For the full year, we anticipate enterprise billing to be relatively flat year-over-year and enterprise revenue to be down high-single-digit to low-double-digit year-over-year because of the ASC 606 implementation. Similar to fiscal 2019, total software and services revenue to be weighted towards the backend, which is a lot more towards the full fiscal quarter. Recurring software and services revenue are expected to be in the low to mid-80% range in fiscal 2019 as Steve just has outlined. So, I will now open the call for Q&A. Lisa, could you please administrate that?
Operator: Thank you. And we will now begin a question-and-answer session. [Operator Instructions] Our first question comes from the line of Daniel Chan from TD Securities. Your line is open.
Daniel Chan: Hi. Good morning, guys. The enterprise revenue was better than expected and billings continue to be strong. Thanks for the color on the year-over-year comparisons in the different accounting rules. But, just to simplify things, were there any perpetual license deals in this quarter that helped those numbers come in so strong?
John Chen: Yes. We have perpetual license. Most of them are taking over -- ratably over 4 years, and very limited of them we’re taking upfront because of the announcing rules that we are not allowed to take it over 4 years.
Steve Capelli: Yes. We did have a very small number of perpetual licenses. I want to remind you that when we made the switch from ASC 606, then, you may recall that we said we were going to basically not offer perpetual licenses, only in rare cases, and those numbers were very small.
Daniel Chan: Okay. So, just to summarize, the strength or the outperformance in ESS and the billings is primarily driven from subscription licenses?
John Chen: Yes.
Daniel Chan: Okay. And then, just switching gears to the IP licensing side. It looks like Facebook just recently bought 5 of the 6 patents they’re sorting against you. Is there any read through from the timing of these purchases?
John Chen: We are advised not to make any comments on an ongoing legal proceeding. You're going to have to make your own judgment on that.
Operator: Our next question comes from the line of Mike Walkley from Canaccord Genuity. Your line is open.
Mike Walkley: Question just on the radar business. You shared that you expect it to reach $100 million cumulative revenue over the next three years. Could you just talk about how you're seeing your channel development build-out? Also, I believe three of your larger cargo tracking companies are for sale. Do you see opportunities in the competitive environment maybe to again share with some customers potentially for sale? And then, who do you see as your leading competitors? Thank you.
John Chen: I missed your last part, Mike. Your last question?
Mike Walkley: Just saying who do you see as your leading competitors in the market currently.
John Chen: Okay. I think, so, first of all, in our $100 million cumulative for the next three years, we lay out operational plan. That does not and I'd emphasize, does not include acquisition of any sort in this area. I wouldn't say, we're not open to it, but it's not a high priority item for us on acquisition, in this area. We believe that the product strength is fair, we know it works well, the customers start rolling it out. We have some very good names and big names that are customers that are taking advantage of it and they are gradually buying more. Our win rates are quite high compared to the industry. I think, we win about half of all the POC that we completed. So, combination of that. We’re quite encouraged with the competitiveness of our product. Again, it's because it was designed for the cloud, for the analytics and now we are trying to tie that into our Spark platform, so that it could be managed by the UEM and the security side. So, a lot of good things there. At this point, we don’t believe we need any help inorganically.
Mike Walkley: Just a clarification. You’re just investing to scale up your own sales channels and platforms because that's where you're going to invest in that. And with competitors potentially for sale, do you see any competitive dynamics that’s helpful to BlackBerry in your win rate?
John Chen: I don't know what area you're referring to. I mostly just focus on the reach, which are the channel -- that is why we've been spending a lot of time and energy on building out channels and getting these big resellers to resale products. And again, from a product to product specific, the fact that this is a modular design and the design that are again more modern architecture I would say. And the hardware is not really the important part. It's relatively simple component, unlike the competitors being more proprietary based. So, we have some building advantage because of that, but I'm not sure exactly which area you're referring to.
Mike Walkley: Okay, great. Thanks for taking my questions.
John Chen: Sure. Absolutely, Mike.
Operator: Our next question comes from the line of Paul Steep from Scotia Capital. Your line is open.
Paul Steep: Hey. Good morning. John, can you chat a little bit about with UEM and EMM market, how you've seen your market share maybe progress over time, and what your view as sort of the health the base? And then, my quick follow-up I guess would be to either you or Steve, in terms of sales force transition. What the early response has been and how settled in people are with the new program? Thanks.
John Chen: Okay. Let me take the first one then. We are very strong. And from a UEM side of equation, we're very strong in two verticals, the financial and the government verticals. And as we want to build more and more solutions, that is built over cybersecurity and a platform on endpoint protection and management. So, we have a lot of opportunity there, especially in the government sectors there’s been a lot of discussion in a lot of different projects. We need to probably broaden ourselves in channel reach to other verticals. That’s also being regulated. There are opportunities in transportation that ties to radar and QNX. We think there is some encouraging opportunity there. There could be opportunity in the healthcare side of the equation. So, we're not very big in the healthcare side, but it's something that a lot of the healthcare customers and prospects would like to work with us on. So, I think we have expansion in vertical and also a kind of a moving up the sack on the UEM with our existing customer base.
Steve Capelli: And I'll take the second part of your question, which is related to how is the sales force responding? And over the course of the year, there will be continued improvement on the response. For individual sales person, it's not until they have the opportunity of really closing large deals as they see the emphasis on subscription model versus perpetual. So, we'll be working through. But, I think it's gone according to plan. And we haven’t had any surprises as a result.
John Chen: I'd like to add something to that. From what I could gather, the sales force is not the problem, because our compensation doesn’t differentiate whether you’re -- because we count people on billings. So, how we take revenue from an accounting point of view, it doesn’t really affect them individually. Maybe the sales management team is a little different. But, I believe that changing the customer way of wanting to buy things maybe a little bit more challenging than my sales team. Customers, especially in governments tend to buy it from a program -- on the program basis. So, they tend want to acquire in a perpetual way.
Operator: Our next question comes from the line of Gus Papageorgiou from Macquarie. Your line is open
Gus Papageorgiou: I just want to focus on the IP licensing business. Couple questions there. Just, can you give us an ideas, sense of why that business is doing better than you expected. And secondly, obviously you’ve been flexing your legal muscles going after some big players. I’m just wondering, what are the prospects there of negotiating licenses versus one-time payments? And in the event, I think most companies resist licenses and rather just check? How do you encourage them to take on a license versus just kind of a one-time check?
John Chen: You want to take that.
Steve Capelli: Yes. I can take, I guess. Well, the first case is that we think it’s doing better, because A, we have a better base of predictability as we mentioned earlier, in the IP licensing, as well as our other licensing within the category, we’re running $40 million to $45 million. So, two factors will come into play. One is what you mentioned is, getting more of recurring revenue from our discussions around IP licensing, but the other one is one-time events. So, there will be some -- our expectation is that there will be some one-time events in the latter half of this fiscal year. And you’re respectful to the comment of how do you get people to have more of recurring model rather than a one-time event. It just takes place in negotiations through the volume and we have to be receptive to both models and we have been. Our preference naturally is more longer term volume base.
Gus Papageorgiou: And I assume that longer term is one the negotiations are spinnable versus confrontational?
John Chen: So, Gus, let me use the word legal muscle. Compared to some of the people we go after, we really don’t have that much of a muscle. But, I believe that our duty is to make sure that our investor get a reasonable return on the investment made. And maintaining and creating an IP portfolio of our size and complexity and continue adding IP innovation into it, it’s a pretty costly proposition. So, because of that, we believe that we need to go after company that uses our intellectual property, and also offer to company that may take -- maybe able to take advantage of our intellectual property. So, it comes in all size and shapes, it comes in all types of reactions, some of them are very receptive, some really want to do this, some are little bit more mature. [Ph] We don't -- absolutely do not like to sue people. I think this is really a waste of time and waste of money in my personal opinion. But, on the other hand, if people are just either ignoring us or not providing a reasonable resolution, then we have no other choice. For our shareholders, we believe we wanted -- we need to do what the minimum. So, therefore, we use the legal side very, very carefully and very limited. And we like -- we prefer to have a business solution rather than legal solution. So, now, as regarding to recurring versus perpetual, this is -- not perpetual, one time meaning, sorry. This is one of those situations where people want to -- obviously want to pay only one time and then just don’t have to remember it anymore or view it anymore. And we obviously want a recurring and the tougher one is part of like Steve said, it’s part of the negotiation. And this is why sometime it’s so unpredictable, whether it’s this quarter, next quarter. And we won't just give up because of the quarterly boundary. And that's how we think about the business.
Operator: Our next question comes from the line Steven Fox from Cross Research. Your line is open.
Steven Fox: Thanks. Good morning. I was wondering, first of all, you could expand on one of the bullets in your slide where you talked about building out your Jarvis sales team a little bit more in terms of [Technical Difficulty]
John Chen: You broke up a little bit, you said about the Jarvis team?
Steven Fox: Yes. So, why are you -- why is there a dedicated sales team being put in place? And can you give us some -- an update on how that innovation is moving towards commercialization?
John Chen: No, we don't really have a Jarvis sales team. Currently, we're offering Jarvis to the OEM and Tier 1 in the auto sector. And we're using the existing QNX team. So, I don't think I have said that we're building a Jarvis sales team. Maybe in the future, that might be that need, but currently that's not in our plan.
Steven Fox: And then, how close you think you are to sort of seeing meaningful commercialization around Jarvis?
John Chen: We have one customer already and we have one that we believe will sign up very, very soon. These obviously -- when we talk about these customers, they are pretty big name customers that you will recognize. And, this is really about getting more and more of the developer and the development process -- the qualification process using it. As time progresses, we'll gain more and more revenue out of it. And so, we haven't commercialized. We are building refinement, next generation upgrades and stuff to it. So, it's more engineering than sales.
Steven Fox: Got it. And then, just on the quarter you just reported, can give us some more color on QNX’s mix? How successful you've been with the recent wins and revenues and moving out of the infotainment?
John Chen: It’s a great question. Actually as I said earlier, our infotainment business grew year-over-year, but our non-infotainment business grew even much faster. And they are -- we have some really strong wins in Advanced Driver sales as well as instrumentation cluster. And obviously, we have ongoing business in over-the-air and hypervisor. So, things are looking -- touchwood, things are looking pretty good. And these design wins in the last couple of years finally starting to yield some results for us.
Operator: Our next question comes from the line of Gabriela Borges from Goldman Sachs. Your line is open.
Gabriela Borges: Hi. Good morning. Thank you for taking my questions. I wanted to follow up with Steve on the earlier commentary on perpetual license mix being relatively small. Just wanted to reconcile that with the mix of recurring going down quarter-over-quarter to 81 from 86. Could you just explain what the factors are driving that?
Steve Capelli: Sure. The first thing is that the recurring is based on consistent methodology, which includes this total software and services, less professional services, less IP licensing, so from a definition standpoint. But during the quarter, we could have a mix difference where under 606, if we achieve all the performance obligation for our sale, then we have to take the revenue, which is proper, can we take the revenue in the medium standpoint. So, there are instances of that. One example could be our Secusmart software. Gabriela, you recall that what turns immediate revenue into more ratable revenue is a lot of cases, services that we have to continue perform because of our knock. So, it's really the mix between the type of software that we're selling quarter-to-quarter.
Gabriela Borges: That makes sense. And the follow-up is for John, if I may on the QNX business. We talked a little bit about the longer term refinement pipeline. I'd appreciate if you could also comment on your visibility into the second half of the year. How do you feel about that revenue ramp? And your comment on closer to 20% growth versus 30% growth, just wanted to confirm that it’s just because of the comps and nothing has changed internally with respect to your own expectations. Thank you.
John Chen: Yes. It's just a matter of the magnitude of the comp -- the magnitude of the numbers, the base number that you comment. So, the business of -- the good thing about the QNX business is it’s quite applicable. And the best thing is it takes a while to make it predictable because every time we win a design win. We got the initial batch of development suites, the licenses. These are not very big, probably -- a lot of time it’s about 6 figures numbers, hundreds of thousands. But, that's pretty much a onetime thing. There might be some ongoing professional services to take engineers for the Tier 1 or the OEM to use our platform. And then, once we start delivering the product, then we got a royalty check, and it's rather steady in that sense. So, it takes a while to get a steady stream of revenue. And what you are seeing or we are all seeing right now this year is the wins that we have accumulated than the last few years starting to pay dividend and they're starting to either step up the developments in some cases or they shipping the product. And then, therefore we're getting the ongoing. So, we don't have any fundamental issues with the business. My comment of more than 20% and 30% is because of the fact that the numbers are bigger in the second half of last year.
Gabriela Borges: Understood. I appreciate the color. Thank you.
Steve Capelli: Sure.
Operator: Our next question comes from the line of Todd Coupland from CIBC. Your line is open.
Todd Coupland: I also had a QNX question. So, I guess, the 20% in the second half of the year, what does the -- beyond the next couple of quarters, what does the pipeline for QNX look like? You had a string of wins that have built up this base that you’re now benefiting from. But, what is visibility in a little bit longer term pipeline for the next fiscal year? Thanks.
John Chen: We should continue to see growth. I don’t have the numbers or exactly what percentage they might be. But, I’m recently comfortable with double-digit. So, now the question is the double-digit with one or two or three, but visibility is pretty good. In general, I know you folks -- I’m sorry, if I somehow get you out of concern about it’s been growing at 29%, 30% in the first two quarters, and now, we’re going to stay in the lower 20s. Again, it’s strictly, because of the numbers, the comps. And we have no issue with the business. The visibility is quite good. The visibility is quite good actually beyond. In fact, we have high hope that this business continues to grow in the next couple years in a reasonable fashion because of the design win we have. A lot of the design wins, the big design wins we have, some of them are signed to yield results, but some of them are whether we see NVIDIAs or the Baidu and all that. They are yet to come. And so, they will add to the growth in the future years.
Todd Coupland: Okay. And just on that point. It seems like -- you did call out ADAS, but it seems like it’s still tilted towards infotainment, and there’s a lot of competition in the ADAS side of the business. Can you just give us an update on your views of your competitive position specifically for ADAS features? Thanks a lot.
John Chen: Yes. Every quarter we win some ADAS design. So, I don’t get the feeling from any of our people that ADAS is “very competitive”. I’m sure that we don’t win every opportunity out there. But we win a number of the opportunities that don’t seem to be a concern of that. Did you hear anything out there that I should be aware of?
Todd Coupland: Are you asking me or your staff?
John Chen: Yes. No, no. I’m asking you. I haven’t heard. You’re the first person who asked me about whether our ADAS is competitive or -- because, again I’m -- not that because I’m an expert in this, it’s just that every quarter we win some ADAS and we’re in a number of conversations. I don’t hear my sales force saying that ADAS are overly competitive. Usually, it’s a code word for that situation you’re pointing out. But, we know infotainment is competitive, and infotainment pricing is competitive, probably because of Auto Grade Linux, but we still win for infotainment deal. The year-over-year revenue is still going up. So, I’m -- so, ADAS, actually has been growing pretty nicely. I don’t know why you -- did you hear anything that I should be aware of?
Todd Coupland: No, just as there is a lot of people interested in that part of the vehicle’s disruption. So, it’s never been clear to me that your market share and footprint has been firmly established area. So, it’s more along those lines and sort of specific wins with other players.
John Chen: Oh, I see. No. We win some really big ADAS. I mean, I just told you that we won a big account in the past quarter. I want to add one thing to this. That's a good question. Why we win? We win because every other solutions we talk about, ADAS or clusters, OTA or safety, everything we win is because of the ISO safety certification that we have. And this is where Tier 1 wants to work with us and OEM wants to work with us. And the reason is pretty simple. The bigger question is the trend of the OEMs and the Tier 1 are going to less -- the high performance component, the computer, HPC or people call it ECN and -- different people call it different names. The idea is, there are a number of computers in the car, whether it’s the connected cars or autonomous driven platform. So, as you get less number -- more integrated and less number of HPCs, the safety of each of the HPCs become more important. ADAS is a part of that. And so, we win because of that. And currently, we’re the only ISO certification standard, the highest certification standard in safety, we're the only provider of that. So, this is why everybody wants to work with us. I don't want to be overly bullish about we win every deal and so. But any safety-oriented component, we have a very high chance of winning.
Operator: Our final question for today will come from the line of Paul Treiber from RBC Capital Markets. Your line is open.
Paul Treiber: Thanks very much and good morning. I just want to follow-up on the questions on QNX and automotive. And just to clarify, has your enthusiasm for the automotive business changed at all from your prior comments? And then, related to that, I think in the past you've mentioned the increase in that business by 3 to 5 times over the next 3 to 5 years. Is that still a reasonable outlook for that business?
John Chen: Yes. The comment is related to ARPU. And so, the answer to your question, yes, we are still gunning for that and we don't have any reason to believe that we should back off on it. I feel quite encouraged with the auto business. Just last couple of weeks, I have spoken to many of the Tier 1 OEM CEOs, feel good about how they view, what we offer, the collaboration that they want, the deals that we are bidding, I don't see any slowdown or any reason to be concerned about auto business. In fact, we're probably going to step up more investment in QNX. We will add more engineers around the world and especially in Canada. And we have a number of announcements that comes out -- that will come out to just confirm our investment level, that we’ll increase our investment in this area. And in addition, the OEM -- the operating system could be used in many different areas including medical equipment and so forth. And we are looking at that too. So, in addition to the auto which we will grow and invest in heavily, there is also other vertical that could use it. And this is why I feel good about Spark platform because we could secure more endpoints beyond just the cars.
Paul Treiber: Okay. Thanks for clarifying that. One last question for me and it's a problem you have but rather good problem is just on the cash and potential uses of cash. You talked about M&A and share buybacks to potentially offset this dilution. Do you have any updates on that, particularly in regards to the M&A with valuations are where they are and then also maybe share buybacks?
John Chen: Yes. We're not really doing much buyback. This is really -- the reason is, when we do our calculation, we believe that cash for our shareholders return is best used on expanding the business and expanding the capability. I'm a very cautious guy and you could use the word cheap, but I don't think I'm cheap. I'm just value seekers. What I don't want to do is to buy very, very high multiple. There are number of interesting opportunities out there. We have a team of people that they go around and that they try to understand the landscape and the company and so forth. So, acquisitions continue to be a high priority item for us. We will be very careful not to overpay. This market, as you will agree, is going higher, sometimes for very little reasons that I could understand. But then, I'm not you guys, it’s not my day job. But because of that I'm little cautious of jumping in and paying high multiples. So, I guess I'm doing a wait and see there a little bit. So, in the meantime, we have plenty of things to do ourselves organically. We're building our ISS technology. And next week we're going to announce some new stuff. So, we're quite busy ourselves. But we will do some acquisition. Buyback is currently at the backburner.
Paul Treiber: Okay. Thanks for taking my questions.
John Chen: Absolutely. Okay. I think that was it. Thank you. Before I close the call, I like to put a pitch for our marketing group that we have our security summit in New York next week. And I think it's next Thursday, Friday as I don’t remember correctly. But, I hope that I could see some of you there or most of you there. Thank you for the time that you spent with us today and have a good day.
Steve Capelli: Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.